Operator: Good morning. My name is Joanne and I will be your conference operator today. At this time I would like to welcome everyone to the Third Quarter 2022 National Fuel Gas Company Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Brandon Haspett, you may begin your conference.
Brandon Haspett: Thank you, Joanne and good morning. We appreciate you joining us on today's conference call for a discussion of last evening's earnings release. With us on the call from National Fuel Gas Company are Dave Bauer, President and Chief Executive Officer; Karen Camiolo, Treasurer and Principal Financial Officer; and Justin Loweth, President of Seneca Resources and National Fuel Midstream. At the end of the prepared remarks, we'll open the discussion to questions. The third quarter fiscal 2022 earnings release and August Investor Presentation have been posted on our Investor Relations website. We may refer to these materials during today's call. We would like to remind you that today's teleconference will contain forward-looking statements. While National Fuel's expectations, beliefs and projections are made in good faith and are believed to have a reasonable basis, actual results may differ materially. These statements speak only as of the date on which they are made, and you may refer to last evening's earnings release for a listing of certain specific risk factors. With that, I'll turn it over to Dave Bauer.
Dave Bauer: Thanks, Brandon. Good morning, everyone. National Fuel had a great third quarter with earnings and cash flows up significantly over last year. Looking at each of the segments, Seneca had a particularly good quarter. Overall production increased by 9 Bcfe, which along with higher commodity price realizations contributed to a nearly 60% increase in adjusted EBITDA. Higher production also benefited our Gathering business, where adjusted EBITDA was up 16% over last year. The Regulated Pipeline and Storage business had a great quarter as well. Revenues from the FM100 expansion and modernization project drove an 18% increase in adjusted EBITDA versus last year. This is the first quarter in which we saw the full impact of FM100. On April 1, in accordance with Supply Corporation last rate agreement, the rate increase associated with the modernization component of the project went into effect. Combined with the expansion of revenues that commenced in December, when the project went in service, the FM100 project will deliver approximately $50 million in annual revenues. Utility earnings were generally flat year-over-year. We continue to see margin growth as a result of our system modernization tracker in New York, but the rising costs, driven mostly by inflation, offset much of that benefit. Looking forward, the outlook for our business continues to improve. As you saw in last night's release, we're initiating preliminary 2023 earnings guidance with a range of $7.25 to $7.75 per share, which at the midpoint is a 27% increase year-over-year. And it's important to remember that fiscal 2022 includes three quarters of California operations. And so our ability to increase projected earnings by this level, despite the divestiture is a testament to the strength of our ongoing operations. Switching to capital. We've made some modest refinements to our expected spending levels for the remainder of fiscal 2022. The midpoint of our updated guidance is a little over $800 million, up 1% compared to our previous guidance. Looking at next year and beyond, I expect our capital allocation strategy to stay consistent with what we've communicated in the past. The availability of capital and the ability to generate strong risk-adjusted return on capital are the main drivers of our decision-making. In the Upstream and Gathering businesses, we have decades of development inventory but the principal Governor of Seneca's activity level is the ability to sell incremental production through firm transportation or firm sales. On the regulated side, our capital allocation balances the need for continued modernization with the desire to keep rates affordable for our customers, while also finding opportunities to expand our system. With that approach in mind, looking to 2023, total capital spending is projected to be between $830 million and $940 million, at the midpoint up just under 10% from fiscal 2022. Roughly two-third of this increase is related to our Integrated Upstream and Gathering development program. Seneca currently has two rigs running in Appalachia, split relatively evenly between EDA and WDA. Looking to next year, we plan to maintain the two-rig development program but we'll shift more of our overall activity to Tioga County. We've had great success on the initial development of the acreage we acquired there, so it makes sense to overweight that area. While this change will not have a material impact on our level of Upstream, spending, it will drive a near-term increase in Gathering related capital primarily in 2023 and 2024 to build out the necessary infrastructure to move this production to the interstate pipeline system. Our Gathering Company will also complete several compression optimization projects, to take advantage of the attractive gas price environment. After this near-term jump in capital, Gathering segment capital should return to more historic levels. All-in-all these are great investments that will benefit our operations both near and long-term. Over the next few years Seneca's production and NFG Midstream's throughput should grow at a CAGR that's in the mid-to-high-single digits. Our marketing team has done a great job securing firm sales, to ensure this production reaches the market. And at a longer-term gas price of $4 per MMBtu I expect Seneca's program will deliver consistent increases in free cash flow. Justin will add more details on Seneca's plans, later in the call. On the regulated side of the company, we expect to modestly increase the pace at which we're upgrading our infrastructure. In exchange for growing rate base, our long-standing modernization program delivers two key benefits to stakeholders. It enhances the safety, reliability and resilience of our facilities and it further reduces our emissions footprint. Whether it's eliminating leaks through the replacement of older infrastructure for modernizing valves and pneumatic devices to decrease methane emissions now these efforts are critical to our long-term goal of reducing the methane intensity and overall greenhouse gas emissions of our operations. Capital spending at the utility is expected to increase by about $15 million. While part of that increase is due to inflation most of it is driven by an expected increase in our pipeline replacement program in Pennsylvania. We're getting closer to filing a case in that jurisdiction. And when we do file, we plan to seek a modernization tracking mechanism to recover the cost of our program on more of a real-time basis. And again, this is a win-win for both us and for our customers particularly with respect to emissions. Given the events of the last several months, I think there's a new appreciation for the importance of natural gas infrastructure, particularly in our service territory. Policymakers would like for constituents to believe the economy can be electrified virtually overnight, but the practical realities paint a much different picture. It's clear that consumers are concerned with costs and reliability issues that come with electrification. And most everyone I talk with, from my barber to CEOs of other local companies doesn't want their natural gas taken away. We all know natural gas can be part of our long-term energy solution. But for that to happen, we must reduce the emissions on our system and our modernization programs in both states go a long way to making that happen. Pipeline and Storage capital is forecasted to be in the range of $110 million to $130 million. As I've said in the past, our spending in this segment generally falls into a few main categories a routine annual maintenance which is roughly $50 million per year, in system modernization and emissions reduction spending that varies based on the projects undertaken each year but typically it will be in the range of $40 million to $70 million per year. Fiscal 2023 modernization is toward the high end of that range, because of a couple of larger pipeline replacement projects. But the timing of that spending is good given the Supply Corporation has a mandatory rate case come back in 2024. Ideally, we also have expansion capital in our budget, but with the completion of FM100 fiscal 2023 will be a light year for expansion spending. Having [indiscernible] we do continue to pursue opportunities for new projects. Earlier in the year, we commenced an open season on our line end system that would expand our ability to move gas from the southern end of our system to several markets including the Rover system at Burgettstown and Tennessee system at Mercer. The early responses are positive. And we hope to have more news in the coming quarters. With the completion of the FM100 project, National Fuel is entering a period of significant free cash flow generation. For fiscal 2022, funds from operations should exceed capital spending by about $300 million. On top of that, on June 30th, Seneca closed on the sale of its California operations receiving net proceeds of just under $200 million. Looking to next year, even with the roughly $75 million expected increase in capital spending free cash flow should increase to approximately $375 million. This outlook gives us considerable flexibility to both deleverage and to return capital to shareholders. As Karen will describe later, we expect to repay both our short-term debt and our 2023 long-term debt maturities without the need for additional long-term debt issuances. And as we announced in June, we've doubled the rate of increase of our dividend. In conclusion, National Fuel had a great third quarter across the system. And looking to the future, we're in a very enviable position, in which our sizable free cash flow will allow us to simultaneously grow the business, deleverage and increase the amount of capital returned to shareholders. All of which will deliver considerable value over the years to come. With that I'll turn the call over to Justin.
Justin Loweth: Thanks Dave and good morning everyone. As Dave mentioned earlier, our Upstream and Gathering businesses had an excellent third quarter, continuing the trend of solid execution across our integrated Appalachian operations. This strong operational and financial performance is driven by our expansive high quality acreage position, the ability to deliver gas to premium markets through our valuable marketing portfolio and our unique integrated approach to developing our acreage. Looking to the future, these same attributes underpin our long-term plans, which remain unchanged. Our two-rig program is expected to deliver mid to high single-digit production growth and increasing levels of free cash flow over the next several years. As Dave discussed, we expect our fiscal 2022 Upstream and Gathering capital guidance to be towards the higher end of our range. Looking to fiscal 2023, we expect to see spending flat to slightly higher in our Upstream business and up $40 million in our Gathering segment. This overall increase is driven by a few factors. I'll start with Seneca. As we discussed last quarter, we accelerated completion activity to bring new production online earlier and capture premium pricing this upcoming winter, which is approximately $3 higher than the summer of 2023. We expect to turn in line a seven-well WDA Utica pad in our fourth quarter and two additional pads one in the WDA and one in Tioga during the first quarter of fiscal 2023. As a result, production is forecasted to decline modestly during the fiscal fourth quarter, but we should exit December at a meaningfully higher rate. Additionally cost inflation continues to be a headwind, which is reflected in our guidance assumptions for the remainder of the fiscal year and our preliminary guidance for 2023. Over the last year, we've seen significant cost increases in some areas such as the doubling of steel costs and 30% to 35% in completions. However, as we drive efficiencies particularly with longer laterals and more wells per pad, we expect total well cost per foot to only increase 10% to 15% on average across our operating areas. During fiscal 2023 we are also planning to transition to an electric frac fleet, which has two benefits: First, it will largely lock in our completion services pricing and greatly reduced diesel fuel consumption or completion operations, dampening further inflationary impacts on a key cost component. Second, this transition will significantly advance our long-term emissions reduction goals. Despite these inflationary pressures as a result of planning optimization and the operations and procurement teams efforts, we expect Seneca's fiscal 2023 capital will be largely in line with fiscal 2022 while drilling a similar amount of TLL and completing a similar number of stages. Looking longer term, we are continuing to shift our development towards our Tioga properties. We've had two years since acquiring the new Tioga assets to further delineate and assess the long-term potential of this acreage and our results to date have been outstanding. Tioga is now our largest producing area with a long runway of prolific development locations and access to multiple interstate pipelines through our Gathering system, which will help us maximize value for our production. As Dave mentioned earlier, shifting more of our overall activity to Tioga is expected to drive an increase in near-term Gathering capital. Given our confidence in future development in the area, we are moving forward to make long-term investments that will benefit our operations in Tioga for years to come. In 2023, we will begin construction on a centralized compressor station and plan to initiate engineering design for the expansion of interstate pipeline interconnects in order to move the growing production from the region. This initial wave of construction is expected to taper off after 2024. Increasing our pace of development in the EDA has the effect of delaying our step-out in the Beechwood area in the WDA, which also requires a significant build-out in gathering infrastructure. The Beechwood build-out was slated to start in 2024, but will now be pushed out to a later time. Our recent results in Southern Rich Valley as we approach the Beechwood area have been encouraging, exhibiting some of the highest initial production rates we've seen in the WDA. While the Beechwood area holds significant long-term value for our company, we hold that acreage in fee and can be more patient. Lastly, we continue to focus on maximizing production from existing wells. Our unique integration allows us to look at project economics on a consolidated basis. And in doing so, we find ways to deliver incremental returns and cash flows, that pure-play producers and midstream companies typically cannot match. For example, we are undertaking several compression optimization projects that are expected to enhance production from existing pads to take advantage of the higher price environment. These projects, which only require modest incremental gathering infrastructure, deliver robust economics with payback periods measured in months or quarters not years. We expect these optimization projects to be online before the end of the calendar year, helping drive our fiscal 2023 production growth of 11% at the midpoint and maximizing our upside to higher expected winter heating season pricing. In addition to maximizing efficiency and returns in our capital deployment, we continue to deliver improvements in our unit costs. With the closing of our California sales at the end of the third quarter, our unit costs going forward will solely reflect our Appalachian operations. The biggest improvements in costs will be related to LOE and G&A expenses. California with its steam intensive operations was a high LOE operation. In addition, there was a relatively high G&A burden, given the nature of the operations and lower amount of production. On a pro forma basis, we expect the fourth quarter cash operating cost to be $0.97 per Mcfe. Looking forward to next year, given our expected production growth and continued focus on controlling expenses, we expect an additional 3% decrease in these costs when compared to the fourth quarter. While natural gas prices maybe near record levels, we will continue to focus on opportunities to reduce our unit costs. With the operational and financial aspects of the business at full stride, we continue to accelerate our sustainability initiatives. On the responsibly sourced gas front, we are making significant progress on achieving certification under the MiQ standard, which will demonstrate our strong culture of emissions management and focus on reducing methane emissions. As part of the certification process, third party auditors evaluated our operations to assess our alignment with the MiQ standard. That audit process is complete and we're awaiting final results. In addition to RSG, we are actively monitoring our facilities for fugitive emissions. We conducted our first facility scale monitoring pilot utilizing drone technology and have another scheduled for mid-August using aerial LIDAR technology. These monitoring efforts will provide real-time assessments of facility emissions and help us identify opportunities to improve our emissions profile going forward. Embracing new technology, and maintaining a focus on continuously improving our emissions profile, positions us very well to deliver responsibly sourced gas to our customers well into the future. In conclusion, our unique integrated development approach affords us opportunities that may not be available to our pure-play peers. The Upstream and Gathering businesses are operating in lockstep to maximize capital efficiency and cash flow generation. Looking forward, we've got a great plan in place to deliver production growth and significant free cash flow, which combined with our leading-edge approach to sustainability and producing responsibly sourced gas, positions us very well for the future. With that, I'll turn the call over to Karen.
Karen Camiolo: Thank you, Justin, and good morning, everyone. National Fuel's GAAP earnings were $1.17 per share while adjusted operating results for the quarter were $1.54, an increase of 66% from the prior year. At the end of the quarter, we closed on our California sale. This resulted in net proceeds of just under $200 million. Specific to the sales, there were several items that impacted comparability to last year. While the majority of the purchase price is allocated as an adjustment to the forecast pool, there was a value ascribed to certain non-full cost pool fixed assets that led to a gain being recorded during the quarter. Going the other way, employee severance transaction expenses and the loss associated with terminating our remaining crude oil hedges, reduced earnings. The net impact was a decrease to earnings of $0.34. Dave and Justin hit on the high points for the quarter, so I'll focus on our guidance updates for the remainder of the year and our preliminary projections for next year. Starting with fiscal 2022, we're increasing and tightening our earnings guidance to a range of $5.85 to $5.95 per share, which is up modestly at the midpoint. This increase is primarily driven by the strength of our performance during the third quarter. Outside of updated NYMEX natural gas pricing for the remainder of the year, which has a minimal impact due to our hedge portfolio, the rest of our assumptions remain largely unchanged at their midpoints. Switching to fiscal 2023, we are initiating preliminary earnings guidance in a range of $7.25 to $7.75 per share, an increase of 27% at the midpoint. There are several tailwinds in our nonregulated operations supporting this increase. First and foremost is the strength of the natural gas forward curve. We are forecasting NYMEX prices to average $7.50 per MMBtu in the first half of our fiscal year and $5 in the second half. Combining this with our current hedging and firm sales portfolio we are forecasting a greater than 20% increase in year-over-year natural gas price realizations. With roughly two-thirds of our production hedged, we have good visibility on price realization but we also retained significant upside. For reference, a $0.50 change in Henry Hub pricing represents a $0.45 change in earnings per share for the year. In addition we are projecting an 11% increase in Appalachian production when compared to fiscal 2022. As Justin described we're working hard on opportunities to maximize our production in order to take advantage of the strong natural gas price environment. This production also supports a meaningful increase in natural gas throughput on our gathering systems which in turn drives a projected 13% increase in gathering revenues at the midpoint of our guidance. The last major nonregulated driver relates to cash operating costs where we expect Appalachian unit costs to be in line if not slightly lower than fiscal 2022. On the regulated side we anticipate utility segment operating income to be relatively flat year-over-year. We are forecasting a return to normal weather which was 12% warmer than normal in fiscal 2022. In addition we continue to see margin increases related to our system modernization tracker in New York. These two items, along with some smaller tailwinds, will lead to a forecasted margin increase of $10 million to $15 million. We expect this margin increase to be mostly offset by higher operating costs which are driven by several larger items. The first relates to ongoing inflationary increases in our labor costs. Retaining our employees is critical to our success and today's tight labor market is leading to higher employment-related costs. Second relates to a conservative forecast for our bad debt accrual to account for the current state of the economy and higher anticipated customer builds for the coming winter. In addition higher depreciation expense on increased plant balances and inflationary pressures on items such as materials, third-party contractors, and fuel are adding to the year-over-year increase. Lastly, we're forecasting a $1 million to $3 million decrease in other income related to our post-retirement benefit plans as a result of recent asset performance and an anticipated change in our discount rate assumptions. In the pipeline and storage segment, we're expecting revenues to be relatively flat year-over-year. On the expense side, we anticipate depreciation expense to increase 5%, primarily related to FM100 being in service for the full year. Looking at O&M in addition to the same labor and inflationary pressures at the utility segment, we are also seeing increasing costs related to complying with new state and federal regulations. In total, we're projecting a 5% increase in O&M expense. As it relates to capital our projected range of $830 million to $940 million is an increase of roughly 10% at the midpoint. Dave and Justin already touched on the drivers for I'll move on to free cash flow. In total, we anticipate free cash flow from operations to be approximately $375 million at the midpoint of our guidance. This is up 25% from our 2022 projections. This incorporates an expectation of being a federal cash taxpayer next year, which will lead to our cash tax rate being in the mid-teens area. With this cash flow profile, we are positioned well to achieve our goals of delevering and returning cash to shareholders. As a reminder, we have $540 million in debt maturing next March. Given our outlook for sustained free cash flow generation, we do not plan to refinance the maturity with new long-term debt. To that end, we have substantial liquidity available in addition to our $1 billion revolving credit facility that matures in 2027. At the end of the quarter, we added $250 million of liquidity in the form of a 364-Day Delayed Draw Term Loan. Combined these facilities allow us to be opportunistic as it relates to the timing of when we redeem our upcoming maturities, while ensuring adequate liquidity to fund ongoing working capital requirements as they arise. From an overall balance sheet perspective, we are in a great position, with debt-to-EBITDA trending below two times over the course of the next year, combining this with our outlook for sustainable and growing free cash flow generation, we are well positioned to continue our long history of generating strong returns on our capital, while also returning meaningful amounts of cash to our shareholders. With that, I'll ask the operator to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Trafford Lamar with Raymond James. Your line is open.
Trafford Lamar: Thank you. Hey, guys, congrats on a great quarter, and thanks for taking my call.
Dave Bauer : You bet, Trafford.
Trafford Lamar: Yes, thank you all. I think, first question kind of revolves around free cash flow and looking at it for next year. I guess any chance of potential additional shareholder return over the base dividend? And then I guess kind of on a follow-up with that are there any -- I know right now priority especially with the California sale continue to reduce debt pay the fixed dividend increase that year-over-year. But any -- do you all have any near to midterm leverage or total debt targets you're shooting for?
Dave Bauer : Yes. Well, we like to deleverage and we focus not just on the ratios like FFO to debt or debt to EBITDA, but also absolute leverage, because when we file a rate case both at the state and the federal level, our capital structure is used as in the rate setting process. So our goal is to get absolute leverage down. And as Karen said, we likely will be able to fund the 2023 maturities with cash from operations and maybe a little short-term debt if we need to for the near term. Longer-term, once, we achieve our leverage targets my priority is to grow the company. My hope would be to continue our track record. So we're pursuing opportunities. I mentioned on the Midstream side, and certainly further M&A would be of interest. But if we get to the point where we've achieved our leverage targets and don't see any immediate uses for capital looking at an increase in the amount of capital return to shareholders certainly is something that we would do.
Trafford Lamar: Perfect. Thanks for that. I guess, my second question, I guess this would be for Justin. Looking at '23 Seneca CapEx, really -- not really too much change going into '23. I guess, I was wondering kind of what kind of inflation assumptions you'll take in for Seneca CapEx and what percentage of that was mitigated by both the electric frac fleet and primarily the electric frac rate?
Justin Loweth: Sure. So, our view is that, we think kind of the environment we're in, we've been experiencing here of late and what we're seeing through a lot of the conversations we've had with our vendors over the recent weeks and couple of months looking at locking in a number of our services for next year. We feel like we've got a pretty good line on where those are going to settle out and land. There's still of course, can be some variability, but big picture, we think that the '23 is kind of round numbers 5% to 10% further inflation over kind of where we sit today, if you were locking in contracts for today. What we're working towards and I'll speak to the -- our focus on the completion side, what we're looking for is a combination of a longer-term commitment. That has multiple benefits. I spoke to that. We think there's a good opportunity there for both sides to have relatively good certainty around the cost of that service by eliminating or significantly reducing our diesel consumption that will meaningfully moderate our overall use of diesel fuel and therefore any sort of inflationary impacts on that. And of course, mentioned, some of the benefits that has from an emissions perspective and some of our long-term reduction goals and efforts.
Trafford Lamar: Perfect. Thanks, Justin. Thank you, and congrats on the quarter again.
Dave Bauer: Thanks.
Justin Loweth: Thank you.
Operator: [Operator Instructions] There are no further questions. At this time I will now turn the call back over to Brandon for closing remarks.
Brandon Haspett: Thank you, Joanne. I'd like to thank everyone for taking the time to be with us today. A replay of this call will be available this afternoon on both our website and by telephone, who will run through the close of business on Friday, August 12. To access the replay online, please visit our Investor Relations website at investor.nationalfuelgas.com and access by telephone call 1-800-770-2030, annual conference ID number 9953. This concludes our conference call for today. Thank you and goodbye.
Operator: This concludes today's conference call. You may now disconnect.